Operator: Good afternoon, and welcome to the Victoria Plc Interim Results Investor Presentation. [Operator Instructions] The company may not be in a position to answer every question received during the meeting itself. However, the company can review your questions submitted today and publish responses when it is appropriate to do so. Before we begin, I would like to submit the following poll. And I would now like to hand you over to Executive Chairman, Geoff Wilding. Good afternoon to you.
Geoffrey Wilding: Good afternoon, and thank you to everybody for joining the H1 earnings call for Victoria. The macro environment continues to be challenging for consumer discretionary spending. And so we've continued to focus on internal initiatives to improve margins and lower operating costs, and we'll discuss these later on the call. However, we'll begin with Alec Pratt, the Group CFO, taking us through the numbers for H1.
Alexander Robert Pratt: Great. Thanks, Geoff. So before we start, just come with a few highlights. So key things have been ongoing pressure on volumes. So revenue for the half was down about 7%. We'll provide a bit more detail on the breakout of that later in the presentation. We're very pleased to improve EBITDA by just over GBP 3 million to GBP 53.5 million. And so a healthy margin increase there despite that volume reduction. We will provide more detail of that. And actually, we believe there's a much stronger performance in the headline than the number suggests. On net debt, just over GBP 1 billion of net debt. A lot of work has gone into extending the maturity profile of our debt over the period. So again, we will run through that in a bit more detail. So if we quickly flick over to the executive summary. I think it's worth reminding ourselves where we are in the cycle. We're very pleased with the resilient performance in what continues to be a fairly low volume environment. Demand remains about 20% to 25% below long-term trend. However, we are beginning to see improving top line trend, which we've seen throughout the first half, and we are expecting that to continue into the second half of the year. Management actions this year have been very significant. We're moving with pace across various divisions of the business and actually, EBITDA margins are improving at the divisional level. We have further cost savings to target as we go through the balance of the year, and we will look at that as we go through the budget, which will continue to benefit into FY '27. I think the biggest update from this morning is caution in the outlook. We are flagging there have been some inefficiencies in the Belgium operations as we transition that manufacturing to Turkey. And clearly, the macro outlook remains volatile, and we are mindful of that. So in the meantime, our focus remains on driving what is in our control. So these are the EBITDA initiatives that we've outlined at the full year results, focusing on cash generation to help with deleveraging the balance sheet and also rebuilding the company's credit rating overall. So just to summarize key messages from the half. So as I mentioned, revenue growth was down about 7% overall. That is primarily volume driven. We'll come on to the split with that, but actually ASPs across the group were healthy. At a gross margin level, those were consistent. But as you go down the P&L, actually improvements in terms of the SG&A and so you saw that improvement in both the absolute number of EBITDA, but also the margin improving to 10.1%. It's important to note there were a few one-off factors, which mask a bigger improvement in the operating performance. We have pulled down the benefit last year of a favorable gas hedging position, which is about GBP 6.7 million. And then also the disruption from the Rugs reorganization, which again was a drag on H1 performance. Excluding those two things, margins improved 390 basis points, and we think this demonstrates very clearly how quickly we are moving to improve the underlying performance of the business. So moving on to the drivers of revenue. This chart breaks out the divisional performance. You can see in every case that actually volume is the main driver of the revenue decline. As a reminder, this chart is in pounds. And so both the Aussie dollar and U.S. dollar were weaker through the period. And so what that masks is that actually pricing in both of those geographies was a lot healthier. You can see in soft flooring, healthy ASP increase of about 5%. Some of that is mix, but within business divisions, that was actually very solid. And in ceramic tiles, I think we'd bring out that the decline there is predominantly due to mix. That gas hedge last year rolling off has meant that we've reduced production of some of the lower-margin products that was using that hedge. Those were within the higher price points categories within tiles, and therefore, that decline in ASP is just a mix effect of doing DIY-orientated products. In terms of EBITDA movements overall, you can see that predominantly that has been driven by the margin improvements that we have pulled out. Biggest mover there is within soft flooring. Philippe will come on to it, but that is despite the headwinds we've seen in the Rugs reorganization, and we're very pleased with the underlying performance there as a result of a lot of initiatives at the back end of last year and into this year. We'll also come on to touch on some of those actions in H1 will flow into 2027 as well. In Ceramics, Rugs reduction in low-margin profitability is what we call bottom slicing. So a good degree of that revenue reduction is actually proactively trimming some of those sales. And so the underlying performance and the market, we feel is much stronger than that 11% decline in revenue would suggest. And then moving on to the smaller divisions, a good performance in Australia, very strong market position there for us. It's worth noting that actually the EBITDA improvement in pounds was basically level, which means in local currency, that was actually a big improvement for that business. In the U.S., a big focus on margins there. Philippe will come on to how that has been driven. And then finally, on central costs, we are being very disciplined there, so just over GBP 1 million of saving. So overall, a modest increase in EBITDA, and we'll come on to some of the other drivers of that through the presentation. So the next page here is just to pull out the non-underlying items. These remain elevated as we go through business transformation. I think the key point here as with the full year is that only a modest amount of those are cash. So those are highlighted in orange. You can see at the top of the chart there, the actual reorganization cash costs were in the low single digits. We've also highlighted the refinancing costs related to the transaction over the summer, and we'll come back to that in the following pages. So this chart shows cash generation over the period. First thing to note is that we are free cash flow positive before CapEx and reorganization, so GBP 8 million for the half. What we pull out there is that the interest cost there of GBP 17 million will be broadly level as we go into the second half. And it's also worth noting that we incurred GBP 7 million of cash tax, the majority of that was related to tax charges in the prior year. Obviously, as we go through this year and into next, we expect that cash tax charge to be relatively minimal, and so that will decrease going forward. This morning, we announced new CapEx guidance with a reduction that we'll come on to, I think what you can see in the first half was about GBP 25 million of CapEx. We expect that to be broadly level in H2 and will stay at that sort of level going forward. And then the other big cash cost there was the refinancing cost. So cash cost of GBP 20.5 million. And so the overall cash movement was minus GBP 40.8 million. The noncash items there, which are kind of the majority of that net debt movement relates to premium paid to the bond investors to do the exchange over the summer. That was GBP 41.4 million. And then the balance of that is a GBP 30 million movement in our FX rates given the bonds are in euros. So GBP 106 million overall in terms of the increase in debt. So this page breaks out the different levels of the capital structure. You can see there the increase to just over GBP 1 billion of true debt. The underlying EBITDA performance broadly flat on the half, so leverage overall at 8.6x. I think it is important to point out that our capital structure is very diversified. That gives us a lot of flexibility in sourcing new capital, and I'll come on to how that's developed. Final piece there is just on the Koch preferred equity. It's important to remind everyone that, that is legal equity and equity in every sense. So the return that Koch earn on that is a preferred dividend, and that is paid in PIK. So no cash cost. There is no maturity on that piece of paper. And so it is not a concern from a going-concern perspective. So the next page summarizes the impact of the refinancing over the summer. A couple of key points to mention there. So having dealt with all our short-term facilities, our next maturity is in 2028. That is for EUR 167 million, which is about GBP 143 million. To put that in context, over the last 6 or 7 months, we have refinanced over GBP 700 million of debt. So it's obviously an area of focus. But in the context of the whole capital structure, we do think that is very manageable, and we're very pleased with the runway that we have created through that refinancing process. So I think with that, Philippe, I hand over to you to run through the operational performance.
Philippe Hamers: Okay. Thank you, Alec. So first division is U.K. and Europe soft flooring, which consists of 4 subdivisions, which are Carpets, U.K., Underlay, Grass and Rugs. For the overall division, we've seen a reduction in revenue with about 3.7%, but with an average sales price growth and a margin growth of about 148 basis points. The Rug division, which we are restructuring at this very moment, includes a shift of almost all the production from Balta Belgium to Balta Turkey to the plant -- the existing plant in Usak. And this is diluting the margin number. Without Balta, the EBITDA improvement year-over-year would be 4.1% to a profitability of about 15.9%. In the U.K., in H1, clearly, we have taken market share, grown the revenue and massively improved the margins. And we continue to progressively do in H2 because there are clear opportunities in the market due to some competitor weakness and our strong service proposition, which we have to Alliance. The sales has continued to benefit from the success of the premium residential brands, which we have in the division. We are also expanding our product offering, as we've said in the previous presentation into hard flooring with offerings in LVT, in laminate and in engineered wood. And the revenue is expanding fast within these propositions through the different brands which we have, which are Abingdon, Victoria West and Balta. Alliance, our own developed logistics provider, as you may remember, is a key component to that success with an average processing about 20,000 order lines per week through the three distribution centers. And we've even seen peaks up to 24,000 order lines per week in November. Alliance now services about 87% of the country next day, and it is further expanding its service as a third-party logistics provider, and we are building -- trying to build for Alliance itself a solid P&L. The second leg we have in U.K. and Europe Soft Flooring is the Underlay business. We are currently processing the integration of our two Underlay brands, which is Easyfloor and Interfloor. And the service proposition and product offering is generated through a separate in-house distribution setup, so it's not going together with the carpet and the hard flooring setup to service all the retailers across the country. The third leg in that division is the Grass division. This performed flat in revenue and showed some decline in margin because of some challenging residential market but we've largely made up for that through the selling of the sports services. And as a result, this has been compensated. On the next slide, you will see that we've separated out the Rug division to see what impact it has had. The Balta restructuring, as you see and as we've said earlier and as Alec has referred to, is weighing on the short-term performance of the division. I will come back or Alec will come back later on that restructuring model because there's a case study a bit further down the pack. It is fair to say that on Balta itself, it is fair to say that reorganization is on track to deliver significant cost savings in the next financial year. And H2 EBITDA is expected to be broadly breakeven. From Q2 2027 onwards, we should see the full impact of the improved manufacturing costs in Turkey. Second division then, which we want to comment on is U.K. and Europe Ceramics. You can see that we've had a volume reduction of about 8.6%, mainly driven by the proactive reduction of volumes and lower margin sales. The underlying EBITDA was about steady, 12.7% versus 12.9%. If we eliminate the favorable gas hedging in the same period in the prior year, we've had a margin improvement of 4.2%. In Italy, a new management was installed earlier in the year, and we have split the P&Ls and brand between the DIY brands, which are Serra, Cali and Keradom and the medium to high-end brands for independents, which is Ascot, Capri and Vallelunga. This allows us for an end user-specific approach in terms of the product offering, minimum order quantities and the service proposition. In Spain, there is a specific investment we've done in large tile manufacturing. It is the famous V4 project. There is a separate sheet further in the project to run through that project and the upside of that project. It is a EUR 31 million investment, which we've done in the course of -- in the last half year and which was successfully commissioned in November. This will have -- or this has had no impact in H1, but should start to deliver from Q4 and H2 onwards. At full capacity, we should be in a position to do 5 million square meters extra output in high-volume formats. From a strategic point of view, the Ceramics division continues to execute on four main drivers. First of all, that's the intensifying of the approach of the integration of the Ceramics Group between Spain and Italy. Secondly, we are also starting to focus to expand on small sizes and the DIY approach. And then as said, the most important project of investment, which we have been running is the V4 project in Spain for large tile manufacturing. And then the fourth driver is the product portfolio rationalization and the cost reduction, which we have been performing throughout the division. Third division then is Australia. We've seen a slight drop in revenue, 3.4%, but the growth in profitability of 126 basis points, which confirms the strength of our market position and the resilient performance of the team. At Dunlop, we are focusing on expanding the market share further in Underlay. Further merchandising efforts has also contributed to substantial growth in the hard flooring sales, which is mainly LVT and laminate. And our Underlay factory now, which we have in Sydney is currently at full capacity, and we are commissioning extra volumes outside of Australia to cope with the increased demand, which we are seeing in the market. The carpet business, which we have through our two brands, Quest and Victoria is solid, and we see more growth in manmade fibers rather than in wool currently. So we expect the volumes in Australia to remain broadly flat in H2 with revenue expected to grow slightly from a positive pricing momentum. Unfortunately, within that division, there's still some persistent currency weakness, as you can see, which impacts the pound-denominated reported numbers. Last but not least, in the divisions is North America, where the performance is constrained by U.S. market volatility and the FX weakness, but this has been navigated successfully by the management. The current strategy of being only a distributor in the U.S. So as you know, we are not a manufacturer in the U.S. It is still the best one. We have revenues of about $300 million in the U.S. between Cali, IWT and Balta Home and exports to the U.S. from our European businesses. The Northern American trading conditions, as we all know, remain challenging in terms of the macro. So there's high-end mortgages, which we continue to see and which have driven the U.S. existing housing transactions to the lowest level in the last 30 years. IWT, which is our East Coast distribution of ceramics has been very strong in the Northeast and is progressing the sales attempts to go into the Texas market. Cali continues to further focus on builder and the business-to-business segment. And Cali in the first half has also taken more initiatives to deliver cost savings in terms of the sourcing model, the marketing spend, the merchandising and the minimum order quantities. So more initiatives have been planned to reduce the inland transportation and reduction of the number of warehouses, mainly third-party logistic warehouses, which we have. And then last but not least, on Balta Home, this was a setup which we've done in the past to better serve the distributors and the big box retailers, and to split the volumes over the two channels, and there's a cost-saving initiative there as well, where we will be cutting out one distribution facility, and the distribution in the future will only be done to the Savannah warehouse. So Alec, I think I'll hand back over to you. So this is the overview of the division sec.
Alexander Robert Pratt: Great. Thanks, Philippe. So next section is on our EBITDA improvement initiatives. As we laid out at the full year results, we are moving very quickly to drive changes that are in our control. Clearly, we don't have control over the macro environment. What we can do is drive big [indiscernible] of the business across our divisions. So the charts on the left-hand side just a restatement of what we showed at full year. I think the key messages to take away is that we have now completed all of the actions that we were targeting in FY '26, which is that kind of GBP 20 million of improvement this year and that we are on track for all of the improvements that we are driving through for FY '27. The two large projects there are the V4 plants in Spain and then the Belgium Reorganization of Rugs to move that manufacturing to Turkey, which we'll come on to in a bit more detail. Obviously, those two projects are within that manufacturing efficiencies bucket. Those two projects are the vast majority of that GBP 30 million and so we are now confident that those savings will come through. It's worth noting that as we go through the budget process in calendar Q1 next year, we will be pushing the teams to see what else we can deliver in the coming years. I think we are confident that there are further savings to go for, particularly in that procurement and integration categories as well as a little bit more to go for in the manufacturing side as well. We intend to update the market at the next set of results on those initiatives. So this slide just gives a bit more context around what has been delivered this year. Clearly, a lot of this work has been offset by weaker volumes. So as a reminder, we generally guided to a 5% change in revenue drops through to kind of a 20% to 25% -- sorry, GBP 20 million to GBP 25 million kind of change in EBITDA. Obviously, with revenues declining slightly through the course of the year, that has largely offset some of these actions. What you can see from the page is that those are very broad-based, right? So that has been across every one of our divisions and across every one of our geographies. I think we do operate in a federated structure, so we have the ability to manage a lot of these projects at the same time. The other key point to take away from this slide is that whilst a lot of this work has been going on within FY '26, there is obviously an incremental benefit as we go into FY '27. So we know that those EBITDA improvements will come through as we go through into next period. So just to provide a bit more detail on the larger projects. So the picture on the right is part of the kiln for the V4 line. As you can see kind of it is a very large construction. It has been under construction for about 2 years. As Philippe touched on, that has been a EUR 31 million investment for the group. I think that's indicative of the fact that we have continued to invest in the asset base through the cycle, and that is what is going to allow us to be a bit more disciplined around CapEx over the coming years. Now we have uploaded a video onto our website, giving you a bit more color around that site. I think what you'll notice from that is, number one, the scale of the project itself; number two, the lack of physical labor involved in the new setup. So that is a very efficient line. As we alluded to, that will deliver about EUR 15 million of additional EBITDA at full capacity. I think the key question for the team as we go through the start of next year is whether we purely use that for replacement capacity at better margins or whether that becomes incremental capacity being able to target lower price points. So that balance between speed of filling the line and unit profit is something that we are working through, but it gives a lot of flexibility in terms of how we attack the market now. So on the Rugs reorganization, as a reminder, that is moving manufacturing from our Belgium plant into an existing facility that we operate in Turkey. We have gone through a number of these processes before, so it is pretty well tried and tested. I think what is different around this transition is, frankly, the scale of the operation. So we concluded the social plan negotiations with the labor unions around the time of the end of the period. That was kind of executed in line with our expectations in terms of cost and the scale of that. So what that will do is reduce our headcount in Belgium by about 500 people. That process is now well underway. 170 colleagues have exited the business already. There will be a further round in the next kind of month or so. We are targeting being fully operational at the end of financial quarter 1 next year. And so we'll have the majority of the benefit as we go through FY '27. The new piece of disclosure today is around the size of that move. The total cost will be about EUR 50 million. The majority of that, about 80% is related to severance costs, which is part of that negotiation I just referenced. And the cash costs will be split about EUR 10 million in FY '26, EUR 30 million next year and then EUR 10 million in FY '28. The provision for that move was taken at the half year of just over EUR 40 million, and we are moving at pace to ensure that, that is funded. As we touched on previously, the program will be financed by sales of the Belgium properties. So we provide a bit more color around this on this slide. So you can see in the picture on the right-hand side of the page, just the scale of some of those facilities. So effectively that gray building taking up the majority of the page is all of ours. You then see a road at the top of the page and another gray building extending beyond the distance. That is also one of our sites. So the team has begun the sale processes for those facilities. That is a mix of manufacturing and distribution. We will be looking to exit those buildings via a combination of straight sales and sale and leasebacks, and we're expecting the first completions there in calendar H1 2026. We are obviously able to obtain those proceeds within the bond documentation up to a maximum of GBP 45 million. So continuing the theme of controlling the things that we can control, a big focus the last kind of month or so has been around our cash flow targets. So this is new disclosure for today. In terms of CapEx, we are reducing our guidance going forward to about GBP 50 million to GBP 55 million per annum. That's a reduction from previous guidance of about GBP 65 million, so at least a GBP 10 million improvement going forward. That is broadly split between GBP 40 million of maintenance CapEx and GBP 10 million to GBP 15 million of expansion CapEx. So whilst we are very cash flow focused currently, we will continue to selectively invest in the business to drive efficiency going forward. In terms of working capital improvements, we are targeting GBP 40 million of savings. That is split between reduction in receivables overdues. That is going to be one of the quicker initiatives to push through. So that will kind of be going full pace in Q1 calendar '26. We then have a segment of inventory reductions. This will be done through SKU optimization. So effectively reducing the number of products that we're selling and therefore, reducing the amount of inventory that has to be held. That is pretty broad-based across the divisions. And then finally, an improvement in payables days. Now this will be longer lead time. So that is to do with negotiation with our suppliers. As we previously touched on, as we've gone through the refinancing process, we have seen a tightening of payables days. We are going to see incremental improvements in that environment. And the teams are very focused in negotiating with the suppliers to make sure that we are getting the benefits of being a large, well-diversified player in the market. And we do think there is probably upside to that 14-day number as we demonstrate progress on both the operational improvements and cash flow generation. And the final point is additional property sales. So we are targeting GBP 20 million plus over the next 18 months. Those are very much smaller assets, so diversified across effectively spare manufacturing assets, some showrooms, some spare land assets beside manufacturing facilities. So none of them are significant in their own right, but across the different divisions, people are being asked to focus on that. Those proceeds will be retained for driving liquidity across the business. So next stage on governance controls. As we touched on the half year, mostly full year, yes, this has been a focus to the Board. This is about doing simple things well. The aim here is to give us more visibility, more control and actually making sure that we are making the right decisions. So pretty broad-based. Some of that has been around people. So we have strengthened management teams, Philippe talked about in Italy. Obviously, the Rugs business as well, that has been strengthened very significantly, and we will continue to upgrade the teams as and where required. That is not just purely around cost saving, that is also adding skills as well. On the kind of the probably less exciting stuff, we've been refreshing policies, also rolling out internal audit program. Again, that is an element to control, but also identifying where we can be more efficient. So we're very fortunate having a very diverse base of businesses. What that means is hopefully we'll be taking the learnings from some of the more efficient businesses and applying those elsewhere across the group. We've also rolled out improved reporting, both the group and at divisional level and applying a bit more rigor both around CapEx and approvals to make sure we're delivering returns with our incremental capital, but also rolling out a new delegation authority framework so that we are being joined up in how we're making decisions. So finally, just in terms of where we are in the cycle. So clearly working very hard to drive efficiency of the business. It's worth remembering that we are 20% to 25% below long-term trends. And so whilst we can't sit here and promise the timing of that recovery, we are very confident that it will come. In the meantime, we are doing whatever we can in our control to make sure that we are strongest positioned both for where we are in the cycle, but also versus our competitors. We've removed a lot of costs from the business already this year and last year. We have a further GBP 50 million savings to target in FY '27 and '28. And actually, all of the core drivers of flooring industry remain intact. So that is obviously housing linked and economic activity linked. We don't fundamentally believe that anything has changed over the last couple of years to mean that we won't recover to those levels. So just to summarize, hopefully, it's very clear that we have made a lot of progress in the last 6 months. I think we're pleased with where we've got to. In a difficult environment, there is no benefit of complaining about that. It's incumbent on us and the divisional management team to keep on driving performance. I think we're excited to do that. And actually, we do feel that in a number of markets, we are outperforming the competition. So maybe with that, over to Geoff.
Geoffrey Wilding: Right. There's been quite a number of questions arrived during the presentation. And I'll paraphrase some of them because quite a few of them are on similar topics. But -- so the first question, which I'll have Philippe answer is, can you talk us through the competitive landscape in the main divisions?
Philippe Hamers: Okay. Well, if we talk about carpets, so we have to broadly make a difference between local competitors in the U.K. and overseas competitors. I think it has become -- life has become a bit more complicated from overseas competitors because of the FX and also because of the lack of distribution in the U.K. We've -- as you know, with Alliance, as I have alluded to. So Alliance is there in the market with the next-day delivery performance, which is bringing -- which is attracting a lot of business. Of course, there locally, we are as strong as our local competitors, but we have recently spurred some competitor weakness where we can build upon the business. And we've seen that, okay, I know we're reporting here H1, but we've seen and there was another question, and I'll jump on that one in a minute to know what the current demand was, I can say that normally in the second half is the better season. And we've seen some good sales started from the end of October through to the first week of December as well, so which is a positive. So Geoff has asked me to speak about competitors, so that was U.K. based. If we look at ceramics, the situation, and it's associated with another question that I can see coming up here in terms of Indian imports, we are facing some of these Indian imports, not so much in Europe, but we see that in our export markets, which is mainly the U.S. and into the Middle East. So we suffer a bit more competitor there. In Europe, it is -- we don't see that. So also the competitive landscape in ceramics is very scattered. So there's not like one extremely dominant player. So -- and we are pretty focused on the medium to high end in Spain and in some of the brands in Italy. So I've also mentioned that we are very keen in trying to have separated out the approach towards product, towards end consumer, end user in that DIY market. This is mainly in Italy. So we are -- we don't see any extra competitors there than the ones we've been facing. So all of that is -- we have not seen a lot of change there. There's another question, if I may, Geoff, another question here, which has been a question if there's a structural change that means that the volumes will not recover in the U.K. I would say absolutely, absolutely not. The U.K. market is still the largest flooring market in Europe with about a guesstimated 115 million square meters. This market has not declined in the course of this year, but what has happened is that we have taken a stronger position due to our service proposition, which we have, as with our logistics provider Alliance. Then another -- okay, the question on imports, we've seen the upswing demand, okay. I've talked about that in H2. So we -- the season, it was a normal season. And if looking into H2 and looking into the next financial year, I can see lots of potential for the Soft Flooring division, not only for the soft flooring products, so for carpet, but for all the other products we've added as well and the product portfolio being LVT and engineered wood.
Geoffrey Wilding: So there's a question -- in fact, there's been a number of questions about the relationship with Koch Industries or Koch Equity Development, who are the holders of the preferred shares. They're also -- they have 12.5 million ordinary shares in Victoria. I'll give some initial comments, which are that Koch remains very supportive of the business. We've got a very good relationship with them. I could not ask for a better partner, particularly going through the difficult environment of the last 2 or 3 years. And the state of relationship is very, very solid, and they're very supportive of the business. And that's probably as much as I can comment about the actual relationship. But Alec, if you've got any comments you want to add about the conversion or update.
Alexander Robert Pratt: No, [indiscernible] in terms of relationship, we also have access to a lot of the capabilities they can bring, right? So they have been helping us with the working capital exercise. I think that has been hugely helpful to the business. So I think that demonstrates their desire to get back the price up. As a reminder, they do have that conversion rights [indiscernible] at this time next year. It is important to remember that, yes, whilst that would be effectively switching that preferred return into an ordinary equity return, it would also reduce the liability on the balance sheet, right? So whilst it would change the percentage holding on the equity, actually, it would reduce the liability by a very similar amount and arguably would strengthen the balance sheet and the flexibility of the business going forward. So I think it's probably not appropriate to comment on discussions with them, but we just echo that, yes, that is a very positive relationship. And actually, we don't necessarily see it as a risk to the business and it's obviously something we will continue to look at over the coming months.
Geoffrey Wilding: There's a question about Balta. Clearly, in fact, there's three of them, which I'll amalgamate into one. Clearly, the move of Balta's manufacturing from Belgium to Turkey will be very material to the earnings. Are you satisfied, management have this move under control? And when will it be completed? Philippe?
Philippe Hamers: We are -- there's a new management on different positions there. So all the negotiations have been done with the trade unions. So the plan is in place, and it's ready for execution. Part of that has been done already. Alec has alluded to that. So 170 people have already left. There's more to come. And 90% of the production facilities will be based in Turkey. I just want to reiterate, this is not new facilities which we have in Turkey. It's existing facilities, which we will expand. So there was -- we don't have to build for the record. We've just added production there. So this will come at a better productivity, at a cheaper cost of goods sold and as a result, we should be in a better position and a more competitive position. Is the team up for it? Yes, there's been quite a bit of restructuring done already on the Balta file in the recent quarters with a good result, and we will continue to do so.
Alexander Robert Pratt: So it's quite a modular move. So some of the machinery is already there and already operating. So in total, we're moving about 24 rooms over to the Turkish facility. Two of those are up and running, basically on a phased basis week by week, right? So there isn't a kind of specific risk around a single piece of machinery. Obviously, the total spend, excluding the redundancy payments is only about EUR 10 million. So I think that probably gives you a bit more confidence around that. And our legal team feels very confident and [theyâ€™re also in fact] confident.
Geoffrey Wilding: The company is saying that CapEx spend is expected to be EUR 10 million to EUR 15 million lower in the future than it has been historically. Are you underinvesting in plant?
Philippe Hamers: No, I think -- and this is important. So we have -- with the investment, for example, in the U.K., with all the investments we've done in logistics in the factories and all that, even if the market was to grow 20%, 25%, we don't need to spend more CapEx. Yes, we may have to add a few shifts. Yes, we may take an extra lease on a truck. But we have all the capacity. We have all the agreements in place with third-party production providers in case we would be running out of capacity, so we can make different decisions in terms of make or buy. But I have to say, in today's market, we have a very competitive production base in the U.K., and I'm not scared of Turkish imports here because Turkish imports need a leg to go into distribution. And this leg we can provide for ourselves and for third-party providers.
Alexander Robert Pratt: Yes. I say we obviously invested fairly heavily within CapEx over the last couple of years. V4 line is a good example of that. So despite the challenges over the last couple of years, we've been spending money to make sure that we are well positioned for the future. We do have capacity in all our key markets to kind of grow into that demand recovery. So we are still allocating GBP 10 million to GBP 15 million of growth CapEx. We have had a first pass of the budgeting of that for FY '27. I think really that's choice around where we are getting returns there, but certainly no pressing need for additional incremental spend.
Geoffrey Wilding: So what drives volumes and what needs to change in the macro environment for there to be a recovery in volume? I'll give you some initial high-level thoughts and maybe Philippe can comment additionally. Volumes primarily is the result of consumer spending on redecoration with a much smaller amount from construction. In terms of the consumer spending, housing transactions are a key catalyst to consumer spending because there's a very high proportion of buyers of a home redecorate when they first move in. And so therefore, as interest rate comes down and housing transactions recover, that's a key driver. The other consumer spending on existing homes happens when people have money left over at the end of the week. So wage growth versus inflation and mortgage interest rates are important as is consumer confidence, which is clearly strongly correlated with employment prospects. So at a macro level, those are the factors that influence volumes. And I don't know if you've got any additional comments, Philippe, at a practical level.
Philippe Hamers: Well, not really. I think I've alluded to that earlier. So we can see if -- and I'm reverting back to U.K. now, if we look at how the market is over here, yes, there's a bit -- we have seen a bit of a swap from soft into hard flooring, but that doesn't really matter because we have both categories on offer; 80% to 85% of what we are selling is driven by refurbishing, not new homes. Yes, we are present in the new home market as well, but mainly to the refurbishing market. And we have not seen any declines of volume, and there's -- according to us, there's absolutely no reason why there would be a structural change in the demand anytime soon in this country.
Geoffrey Wilding: Is your growth in the U.K. due to a recovery in demand? Or are you taking market share?
Philippe Hamers: So we are clearly taking market share. So I think the market has been pretty flat this year in terms of demand. So you've seen -- or I mentioned that in the presentation that we have grown about 3% top line, but much more in profitability in H1. I think we will by far improve on that number in the second half. And this is market share we're clearly taking now. And as said earlier as well, so not only in H2, but we can see that in the preparation of the budget towards next year. So we are looking forward on a good solid market in the U.K. coming up.
Geoffrey Wilding: Can you comment on the company's liquidity position, Alec?
Alexander Robert Pratt: Yes, at the half year, we kind of refer to that GBP 86 million of cash on the balance sheet and we -- that have the Super Senior Credit Facility is fully drawn, but we also have the ability to incur about GBP 187 million in local lines, broadly similar number as the cash balance was drawn in local lines, so about an incremental GBP 100 million at the half year period.
Geoffrey Wilding: Assuming a recovery does occur, what long term does management expect the EBITDA margins to be with a normalization of demand?
Alexander Robert Pratt: Well, look, at the full year, we laid out kind of the long-term track records. I don't think we see it being hugely different to that. I think what we are trying to deliver is more integration than we were through the last cycle that should bring further benefits. So there is no reason we shouldn't be able to get back to those historical levels.
Geoffrey Wilding: Is LVT damaging the demand for ceramics? Or is it more a wide consumer spending issue?
Philippe Hamers: Yes, I've seen that question here. So there's -- some people say it does, others say it doesn't. So we are -- we have an offering in LVT as we have an offer in ceramic and in carpets. It doesn't really -- I don't really care where the demand comes from. Has it got an impact? I think the sale of LVT has definitely some impact because in terms of decors, you can buy like a wood decoration in LVT as you can buy it in ceramics. So there's probably a bit of back and forth between the two product groups. But I think at the level where we are in ceramics in terms of market share and LVT, it doesn't really -- so it has no impact or influence on the numbers we are reporting.
Geoffrey Wilding: I think it's worth mentioning that the size of the ceramics market is absolutely enormous. There is about 1.5 billion square meters of ceramic tiles sold in Europe each year. And the amount of LVT sold at the present time, albeit it's growing, is a rounding error given the overall size of the ceramic tile market. So I don't think that the -- any shift of consumer spending from -- sorry, from ceramic tiles to LVT is having much of an impact in terms of the size of the overall ceramics market. Actually, I've just noticed the time. We better stop. There's still questions to go, which we'll try and answer otherwise, but online. But I think we better bring the session to a close.
Operator: Perfect. That's great. Geoff, Philippe, Alec, thank you for addressing those questions from investors today. And of course, the company can review all questions submitted today and will publish those responses on the Investor Meet Company platform. But Geoff, before we direct investors for the feedback, which is particularly important to the company, could I please just ask you for a few closing comments?
Geoffrey Wilding: Okay. As I said, I appreciate everybody taking the time to join and continue to take an interest in the business. I appreciate it's not -- it hasn't been a particularly celebrious for last couple of years, but we actually are feeling more confident about the future now than we have at any time in the last couple of years because of the changes that have been made operationally that will ensure earnings grow next year. So with that, we'll wind up for today.
Operator: That's great. Thank you once again for updating investors today. Could I please ask investors not to close this session as you will now be automatically redirected to provide your feedback in order that the Board can better understand your views and expectations. This will only take a few moments to complete, and I'm sure will be greatly valued by the company. On behalf of the management team of Victoria Plc, we would like to thank you for attending today's presentation, and good afternoon to you all.